Operator: Good day, and thank you for standing by. Welcome to the Owens & Minor Second Quarter 2023 Earnings Conference Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Jackie Marcus, Investor Relations. Please go ahead. 
Jacqueline Marcus: Thank you, operator. Hello, everyone, and welcome to the Owens & Minor Second Quarter 2023 Earnings Call. Our comments on the call will be focused on the financial results for the second quarter of 2023 as well as our updated outlook for 2023 both of which are included in today's press release.  
 The press release along with the supplemental slides are posted on the Investor Relations section of our website. Please note that during this call, we will make forward-looking statements. The matters addressed in these statements are subject to risks and uncertainties, which could cause actual results to differ materially from those projected or implied here today.  
 Please refer to our SEC filings for a full description of these risks and uncertainties, including the Risk Factors section of our annual report on Form 10-K and quarterly reports on Form 10-Q.  
 In our discussion today, we will reference certain non-GAAP financial measures, and information about these measures and reconciliations to the most comparable GAAP financial measures are included in our press release.  
 Today, I'm joined by Edward Pesicka, President and Chief Executive Officer; and Alex Bruni, Executive Vice President and Chief Financial Officer. I will now turn the call over to Ed. 
Edward Pesicka: Thank you, Jackie, and good morning, everyone, and thank you for joining us on the call today. The second quarter showed a continuation of positive momentum in many areas, including exceptionally strong cash flow, meaningful improvement in net debt, mid-single-digit organic growth in our Medical Distribution division and continued double-digit growth in our Patient direct segment. However, we continue to see a slow recovery in our Global Products division as demand for our higher-margin S&IP products remain constrained.  
 One of the objectives for 2023 is to significantly reduce debt to provide flexibility for the business. Our performance in Q2 has put us well on the way to achieving this objective. Strong execution and focus by the overall organization, combined with the operating model realignment program, has led to over $300 million in operating cash flow in the quarter, driven by the reduction of working capital, net proceeds from AR sales and the disciplined capital deployment.  
 After celebrating the 1-year anniversary of the acquisition of Apria at the end of the first quarter, Q2 marks the first quarter with a year-over-year comparison of the Patient Direct segment. After a year of double-digit pro forma growth in each of the previous 4 quarters, I am pleased to report that the segment continued to produce double-digit revenue growth with top line performance fueled by strong growth in most of our major product categories.  
 In addition, we delivered year-over-year operating margin expansion of 25 basis points in the quarter. It is clear that the powerful brands of Byram and Apria are working well together with a broad offering to serve the patient in the home. We remain bullish on the outlook for the Patient Direct segment for the remainder of the year, as well as the long term as demand for chronic condition health care in the home continues to increase.  
 Moving on to our Products and Healthcare Services segment. The results in this segment were mixed, in our Medical Distribution division, we saw year-over-year revenue growth accelerate to over 5%, driven by growth at our existing customers and the implementation of new wins, partially offset by the residual impact of previous losses.  
 In addition, it should be noted that same-store sales, excluding PPE, showed growth of 10%. However, as we recognize the positive momentum in our Medical Distribution division, it is prudent to recognize headwinds we face elsewhere, specifically in our Global Products division, as demand for our higher-margin PPE products declined year-over-year.  
 When combined with our fixed manufacturing costs, this means we must work much harder to control cost. With elevated supply levels and lower demand for PPE, we are remaining cautious on the balance of the year given these trends. We are working hard to navigate these uncertainties, recognizing what we can and cannot control and managing our business as closely as possible.  
 One of the key elements to minimizing this headwind is our operating model realignment program. With our operating model realignment program well underway, we have already implemented cost-saving efforts while enhancing the processes to drive operational excellence as well as diligently reviewing each segment's opportunity for growth.  
 First, within our sourcing and demand management work stream, the team has made significant strides to date with positive results already. Second, redesigning our organizational structure will allow us to invest and build teams and areas central to our growth opportunities in the coming quarters. Third, our focus on network rationalization and operational excellence will be critical in the ongoing management of our products and Healthcare Services segment, particularly if the broad demand challenges continue in the coming quarters. And finally, we are having important conversations with customers and partners to improve our commercial excellence and product profitability.  
 Everyone recognizes the difficult nature of an inflationary environment, but at the same time, our customers have come to rely on our proprietary distributed products as critical components of patient care. We are on a clear path to achieve the $30 million target for contribution to adjusted operating income in 2023 from this program, with the vast majority of the benefits in the coming months.  
 Many of the actions have already taken place, and we are confident in the value provided by the operating model realignment program for the remainder of the year. When I look at the back half of the year, I like the opportunities presented by the operating model realignment program, the continued strength of our Patient Direct segment and the revenue growth in our Medical Distribution division. However, the previously mentioned caution around the outlook of S&IP products has resulted in a slightly adjusting our full year expectations.  
 Finally, the team and I hope you will join us for our 2023 Investor Day in early December in Boston, at which we will share our vision for the future of Owens & Minor.  
 I will now turn the call over to our Chief Financial Officer, Alex Bruni, to discuss our second quarter financial performance and our guidance for the full year. Alex? 
Alexander Bruni: Thank you, Ed. Good morning, everyone. I'd like to start by reviewing our financial results and the key drivers of our performance in the second quarter of 2023. Following that, I'll briefly touch on our outlook for the remainder of the year and the cadence for the third and fourth quarters.
 Starting with our second quarter results, our revenue for the quarter was $2.6 billion, which represented growth of 2.5% and was driven by continued strong performance in our Patient Direct segment and growth in the medical distribution division of products and health care services. For the quarter, Patient Direct revenue was up 10.5% versus the prior year with strong growth across most categories, especially in our largest categories of diabetes and obstructive sleep apnea.  
 Products and Healthcare Services revenue was relatively flat compared to the second quarter of 2022, with growth in medical distribution of 5% offset by headwinds in our Global Products division.  
 Second quarter gross margin was $519 million or 20.3% of revenue compared to $533 million or 21.3% of revenue in the second quarter of 2022. The gross margin contraction was driven by a change in product sales mix as less higher-margin PPE was sold, partially offset by a reduction of LIFO expense of $6.7 million versus the prior year, driven by a significant reduction in our medical distribution inventory.  
 Our distribution, selling and administrative expense for the quarter was $455 million, making up 17.8% of revenue. This expense increased by $33 million versus the prior year, primarily due to variable expenses in Patient Direct to support revenue growth along with increased teammate benefits expenses and inflationary pressures negatively impacting wages and occupancy costs, which affected both segments.
 GAAP operating income for the quarter was $10.8 million, and adjusted operating income was $62 million. Strong top line performance in our Patient Direct segment was critical to our margin performance during the quarter. Interest expense for the quarter was $41 million, which reflected an increase of $4.9 million as compared to the prior year, primarily due to interest rate increases. 
 GAAP net loss for the quarter was $28 million or a loss of $0.37 per common share. Adjusted net income for the quarter amounted to $14.2 million or $0.18 per share. Adjusted EBITDA in the second quarter was $113 million with a margin of 4.4%. Additionally, and as Ed mentioned, our operating model realignment program continues to gain momentum, which improved our margin performance. 
 We remain on track to achieve $30 million of contribution to adjusted operating income in 2023 from this program as well as exiting the year with a $100 million run rate. Let's now look at cash flow, the balance sheet and our capital structure.  
 In the second quarter, we generated significant operating cash flow of $313 million, inclusive of $150 million in net proceeds from AR sales. During the quarter, it became economically attractive for us to enter into a program that allows us, from time to time, to sell receivables related to a handful of customers across the businesses. Also, as you've seen over the trailing few quarters, our business is capable of producing strong levels of operating cash flow, which is driven by margins within Patient Direct, followed by cash conversion and rigid working capital management across all business lines. 
 Due to the level of cash from operations, we reduced total debt by $49 million and net debt by $269 million during the second quarter. We have built invested cash balances, much of which is earmarked toward our 2024 series notes. Presently, these investments are out earning the coupon on much of our near-term and longer-dated debt. 
 It's also worth noting that we have reduced total debt by $309 million since the finalization of the Apria acquisition. At the end of Q2, our total debt was $2.3 billion, and net debt was $2 billion. Delevering remains a top priority. With another quarter behind us, we are able to narrow our guidance for 2023. We are revising our revenue, adjusted EBITDA and adjusted EPS outlook to reflect our confidence in Patient Direct and the operating model realignment program, balanced against the lack of visibility and caution we have around S&IP product sales in the back half of the year.  
 The new details are available in our press release from earlier this morning in the supplemental slide on the Investor Relations portion of our website. As we think about the cadence for the second half of the year and consistent with our expectation that our earnings will be heavily weighted to the back end of the year, it's reasonable to expect that Q4 earnings could be roughly twice that of Q3 due to traditional seasonality and moreover, timing of the realization of the operating model realignment benefits.  
 We are heavily focused on delivering savings on time and in full as well as driving the performance of the business. Before turning the call over to the operator for Q&A, I'd like to thank all of our dedicated teammates for their efforts in enabling Owens & Minor to provide the highest quality of service to our customers.  
 With that, I'll now turn the call over to the operator for questions. Operator? 
Operator: [Operator Instructions]  
 We'll go first to Kevin Caliendo at UBS. 
Kevin Caliendo: A lot to unpack here. But I guess to start, sort of help us bridge first half to second half, third quarter to fourth quarter in terms of what is embedded and the expectations to go from, in essence, at the midpoint, $222 million of EBITDA to $333 million in the second half. Like what needs to happen in your opinion, to get there from now third quarter, fourth quarter. I get part of it is the cost savings plan, but operationally, ordering patterns, what needs to -- what do you need to see to get comfortable that you can achieve this? 
Edward Pesicka: Sure. Let me break it out in different components. Let me start first with Patient Direct. So Patient Direct has normal seasonality in their business, and that's historically shown. If you look at what the performance was last year in Patient Direct as patients hit their deductibles, the increase in the demand for products escalates at a pretty rapid pace in the back half of the year. In addition to that, just the traditional -- the continued strong performance in our Patient Direct business. So that's the normal traditional ramp there, and we expect that to continue at the pace if not accelerate from where it's been historically.
 Then the second aspect of it is you're absolutely right in the operating model realignment and the 4 major work streams that we have a lot of that work has already been done and locked in, it's just it needs to work its way through the system. So take sourcing, for example. While we've gone on and been able to source product and raw material at a lower price, that -- those products, raw material are working their way through the inventory through the systems, which those will end up coming into place in the back half of the year.  
 I think another example in that would be the way we've structured our organization and from our network optimization, those actions have taken place. So those are locked in and going into the marketplace.  
 The next thing is really the continued reduction of debt. We've done a really good job on taking debt down which is actually going to help drive that impact, not so much on EBITDA but on the adjusted operating income.  
 Then in our Medical Distribution segment, the continuation of the growth in that segment and the fixed costs were leverage we're getting in it. And lastly, which is really the toughest 1 for us to predict in full transparency is the expectation of improvement within the demand for our products within our products -- Global Products division, specifically PPE.  
 What I can't say is we have seen sequential or month-over-month improvement in the demand for those products as the year has progressed. But look, it's still difficult to put your finger exactly on it or put a pin on it because what the customers have in safety stock. In addition to that, I don't want to miss the fact that then you've got major distributors out there that carry our product and distribute them that have significant excess stock, both of our product as well as other brands in there.  
 So that's why we're trying to be cautious that last component. Look, the first 3 or 4 I talked about, they're pretty much locked in. We just need to continue to execute on those. And then the 1 at the end is the 1 that's really difficult to put a pin on, which is why we're trying to be a little bit more cautious on the back half. 
Kevin Caliendo: Can I ask a follow-up?  When it comes to PPE, can you maybe talk about where the pricing is in the marketplace and maybe more importantly than pricing, how is your competitive positioning, in your opinion, changed, if at all, over the last 6 months or 9 months as these inventories have built and are now coming down. Are you seeing any additional competitive pressures from sourcing outside of the United States? Or anything else? Just help us sort of understand what -- how the market dynamics are playing out for you in your opinion? 
Edward Pesicka: Yes. In my view, I think we've seen prices stabilize. We saw a rapid decline in price in 2022, but through '23 here, they somewhat -- I would say, in essence, they've stabilized. And so that's where I would say they are right now. 
Kevin Caliendo: And just from a positioning perspective, are you -- do you feel like in terms of share or in the reordering that you're seeing, is it -- as you're expecting in terms of your share of that? 
Edward Pesicka: No, the mix hasn't changed. 
Operator: We'll take our next question from Michael Cherny at Bank of America. 
Michael Cherny: Maybe if I can follow up a bit there. Obviously, a lot of moving pieces, both within your control and without. Can you maybe just give us some sense on risk weighting the various components as you build that back half ramp? I know you've been adamant about the ramp over the course of the year. It seems like relative to at least where consensus is that the 3 to 4 jump up a little steeper, so curious how we think about where you have the highest degree of visibility, where you think there's still items that are out of your control that you're waiting to make sure come through, especially maybe on PP pricing for one? 
Edward Pesicka: Sure. Yes. I think the clearest line of visibility is in our operating model realignment savings. Like I said, those are completely locked in. And then I think there's a high level of confidence also in the seasonality and this is the continued strong performance across all the segments in Patient Direct where I believe we continue to win business and continue to generate operating leverage in that business.  
 I think in our medical distribution business, we continue to have momentum with growth, so higher level of confidence there. And I think I was trying to be clear that the 1 area that's still difficult to put an exact pin on it is, when does destocking and when I say destocking, not just at a customer, but other distributors that sell our product because they bought a tremendous amount of ours as well as other products in the market and that flushing through. That's the 1 variable that, again, we don't have complete control over as well as 100% visibility on. So waiting and that's the 1 I would put as the risk factor, the other 4 or so pretty -- very high level of confidence in them. 
Michael Cherny: And I guess on that last risk factor, sorry to harp just on the most negative part, but -- how do you think about the proof points you're looking for just because no 1 could have predicted the pandemic. No had predicted the roller coaster that we've seen on demand on PPE. You went out of your way to service your customers incredibly well in terms of delivering what was needed. We've all been wondering to figure out when are we going to get to the new normal and what that is. And so especially with your look into not just your direct customers, but also the distribution side, what are the proof points you're looking for to call success call victory there. 
Edward Pesicka: Yes. So the proof points we're looking at is comparison back to 2019 demand, and that was kind of called that a steady-state program. And then within our existing customers, we're starting to see some customers that we know that, again, customers where we distribute to them and they use our products we're measuring those customers, and we're starting to see some of those customers back to pre-COVID levels of ordering, so that's telling us that they burn through that level of inventory.
 And then the other side is really taking a hard look at tracings to other distributors of what they're doing. So those are some of the key factors. And again, we have seen improvement month-over-month, but to get it overall back to, the improvements have fluctuated from month to month. They haven't been at a steady state, I'll put it that way. 
Operator: We'll take our next question from A.J. Rice at Credit Suisse. 
Unknown Analyst: Jonathan Yong on for A.J. here. I guess if we think about the range of your EBITDA guidance and obviously the big risk factor is the destocking component. I guess how much more does it -- how much more does need to improve for you to come to the midpoint? And then at the bottom end of the range, what is kind of assumed there in terms of what happens on the destocking trend? Is it similar to what you're experiencing now? Or is there some improvement? Just trying to get a flavor of the risk factor from the bottom and top end of that EBITDA guidance? 
Edward Pesicka: Sure. From a risk factor standpoint, it's the way I would summarize it. The material significant majority of our EBITDA for this year is coming out of the Patient Direct segment. So if you -- obviously, you go back and if you look at the first and second quarter of the adjusted EBITDA generated in our Patient Direct segment and expect the ramp in the back half of the year, that's where the bulk of that EBITDA is going to be coming from for the full year. .
 Then you think about just the small amount of the operating model that's been in the first quarter and then in the first and second quarter with the bulk of that coming in the third and fourth quarter, that will hit more in the patient -- I'm sorry, product and health care services side. So look, from a risk factor on that, we've got -- it is heavily weighted, significantly weighted towards Patient Direct with the bulk of the stuff in product and health care service coming from some seasonality, but the true benefit of the -- of our operating model realignment. 
 So I guess the short answer is to derisk it is there's a little of it coming from the product and health care services in the back half of the year compared to what's coming from the other parts of the business. I would say just to a lesser extent, we do think that LIFO and stock comp will be factors in terms of where we land within that range. 
Unknown Analyst: Okay. That's helpful. And then you mentioned that some customers are improving their purchasing patterns. I guess from -- it sounds like they're burning to, but what about the distributor side? Do you have any sense of how much perhaps excess inventory they have? And then are they purchasing other competitor products? Or kind of how is that trend looking? And how much months stock do they all have on hand relative to what you would normally think that they would be. 
Edward Pesicka: Yes. I think that's tough because getting that data is difficult. But we believe that -- look, we look at ourselves as a proxy. And we know we've done a really good job in the last quarter of taking inventory down, which turned around and helped us generate tremendous cash flow for the quarter. So we know that -- we believe that if we're using ourselves as a proxy, we know we're thinking they have similar, and we've probably been more highly focused on moving our inventory out specifically our products to get it to turn. 
 So the short answer here is, we don't have direct visibility to, but we can buy a proxy, look at what we have and believe that across the board, whether it's the 4, 5 or 6 distributors that are key distributors to us, we believe they have similar, if not more, than what we would have in stock. 
Operator: Next, we'll go to John Stansell at JPMorgan. 
John Stansel: This is John on for Lisa. Just a question going back to some of the commentary around sourcing and demand management. It sounds like you're having positive impacts already, as you said. But I noticed you kind of adjusted the commodity price assumptions in the guidance from kind of stable to improving just to stable. Is there anything more than just like added visibility on kind of the input side that's changed for you through the quarter? Or kind of what's driving your cost outlook for the back half. 
Alexander Bruni: Yes. Thanks, John. Obviously, in our Products Division, in particular, we keep a very close eye on commodities and how they impact things. I would say that the update here was just based on a broad look across trends and, I think, a judgment that it's probably more stable than stable to improving. 
John Stansel: Okay. Great. And then just -- I know we had some discussion last quarter around home respiratory potentially being a little below kind of the average within Patient Direct. How about trend during the quarter? And I guess, are you seeing any changes in patterns there? 
Edward Pesicka: Yes. At a high level, in a Patient Direct business, again, just can't be more pleased that we had double-digit growth overall in that segment. And that's coming off of some pretty tough comps. We had double-digit growth on a pro forma basis last year in that segment. The 1 category coming off of COVID, it's home respiratory that is still not growing at the rate we wanted to. It has improved sequentially quarter-over-quarter. 
 The other aspect of what we have with the home respiratory is with the Philips recall on NIVs and other home respiratory products, it has caused us to actually have to spend more capital to get new machines that are qualified. The long-term benefit of that is, though, we're comfortable that Philips over time is going to get it fixed, and we get it fixed. We're going to have -- we're not going to need to spend the capital because those machines will all be refurbished and ready to go. 
 So I guess in the home respiratory, it's still not where we want it to be. It is improving as the year has progressed. But again, we've got to look at the other aspects of it where across all of our categories or 2 major ones being diabetes and CPAP, both of them growing in the double-digit range. 
 Overall, the total segment growing in double digits, and across the board, whether it's ostomy and continence, wound care, urology, all those categories continuing to do extremely well in the marketplace. 
Operator: We'll go next to Daniel Grosslight at Citi. 
Daniel Grosslight: I want to go back to what's the, I guess, the topic of the day or maybe the topic of the year, the PPE stocking. Earlier this year, I think you mentioned around in your conversations with health systems, around 1/3 of hospitals were working through their inventories, 1/3 still had access, and 1/3 have about a year's worth of stock.  Wonder if there's been any change to that? And if there's any way to kind of quantify your conversations with hospitals and their PPE stocks right now? 
Edward Pesicka: Yes. All I would say is based on the conversations as well as some of the data we looked at, that has gotten slightly better. And again, we've seen that get slightly better from Q1 to Q2, but it's just -- it's that second bucket. The last 2/3 that they have excess stock that's less than a year and up to a year on the other side of it. Those are the ones that it's slow for those to come down. 
 And again, that's just 1 component of it. That's just what hospitals have. So we've seen that improve, but we also have to factor and also we've got other channels to the market of our product where those other channels have excess stock. And that's another 1 that's tough to get arms around as you look at different data like sales tracings to try to get to where you need to get to on that. 
Daniel Grosslight: Okay. And then on the core distribution ex-PPE, it seems like that's trending nicely around 10% year-over-year growth this year versus mid-single digit last quarter. Just curious what's causing that acceleration in same-store sales growth? 
Edward Pesicka: Yes. I think there's a couple of things. I think it's the great service. I was actually out with the customer yesterday where we're running just raw fill rates north between 98% and 99%. So some of the industry-leading raw fill rates. And again, that's no noise. It's what they order, they get what they want, when they want. And that's 1 of the things that's driven it. I think the other aspect of it has been some of the new win implementations that are starting to take place, and then just better execution in the field. I think those are 3 of the major factors that are driving that strong performance in the Medical Distribution division. 
Operator: We'll go next to Eric Coldwell at Baird. 
Eric Coldwell: The last 1 I touched on my first question. But again, going back to the distribution growth, either the 5% or the 10% ex-PPE, it's pretty good, probably better than market trend in hospitals. I was hoping you could parse that out perhaps differently, what component of that growth is new wins versus penetration of existing accounts? Maybe what kind of offset you had from prior period losses, and then if you could sprinkle in some conversation around volumes and pricing outside of PPE, that would be helpful as well. 
Edward Pesicka: Yes, I think at a high level, Eric, and I know we normally haven't gone into this level of detail, but at a high level, I would think there's a reasonable blend between price and volume, call it, roughly half price, half volume from a broad standpoint, again, manufacturers, a lot of times are setting the price with the hospital. We're passing that out with the cost plus. So it's roughly about half and half, I would say, if we look at our business.
 Again, our same-store sales is again, is driving a significant portion of this, which when we use it as a proxy for the health of our business and the health of the industry, when we see 10% same-store sales, excluding PPE, that tells us we're continuing to expand and gain share, whether that's both through additional services within the customer, as well as broader portfolio with additional products and penetration of the account. 
 And I would say that's partially offset by some trailing losses. That's having maybe a couple of points, a point or so of impact. And then we've got 1 point or 2 of impact that benefits of the new wins that are coming into place right now. And we expect that just to continue with momentum. But you're right, Eric, really pleased with the way the revenue growth in medical distribution sales is going, the flat -- the 5% growth, just overall regardless of all the noise in the system, is really a testament to what the commercial team has done as well as what we've done from going out and driving significant operational improvements relative to what historically has been there for us and others in the industry. 
Eric Coldwell: When you cite additional services, could you give us a sense of what you're talking about there? Would that be things like kitting programs?  Stocking as a service. I mean, is there any kind of additional color that you could provide on the additional services opportunities? 
Edward Pesicka: Yes. Some of the stuff -- I'll give you an example, outsourced logistics. So you may have a device company or another manufacturer that's looking for the outsourcing logistics and being able to get the product into the hospital, that's 1 example of where we started. 
 We're seeing growth in our outsourced logistics business. So that's -- I just use that as a single example, but that's an example of a service where we're doing that. And we are -- we've spent a tremendous amount of time in our kitting business since you did raise that with our leadership in the operations have spent a tremendous amount of time really looking at how do we eliminate cost as well as waste in there and improve service, and we've increased now our service levels to close to 100% of being able to manufacture and get kits out on time. And all that's done right now in the U.S. So from a service level, it has the ability to get it to the customers quicker. That's another example of some of the stuff that we're focused on. 
Eric Coldwell: And then if I might. What's the -- in distribution, just core acute care, I guess, as well as any alternate site comments. But what is the landscape for the new business environment today? Is the market -- is there a churn out there? I mean we've heard it stabilizing and there's not as much, but what are you seeing in terms of RFPs or customers maybe vetting other vendors, just big picture on churn and pipeline expectations. 
Edward Pesicka: Yes. So we've seen some big chunky ones that are out right now, where there's opportunity and where we're also in a retention position. The good news is the bulk of our top 10, we renewed for extended periods of time. I think that was critical to us. But we are seeing a mix right now in some of the large bulky ones or large ones. 
 But then also, I think that we're also -- is also the mid- and small-sized customers that are looking for different ways to have a higher level of service as well as competitive pricing out there. Our pipeline is still strong. We've got a very large pipeline. And if you just think about it an average, if an average customer is a 3- to 5-year contract, our pipeline should be $1 billion plus, $2 billion plus at any time as we're looking to -- as we're looking to find opportunities to win business. 
Operator: And there are no further questions at this time. I would like to turn the call back over to Ed Pesicka for closing remarks. 
Edward Pesicka: I just want to thank everyone for joining us on the call today. The participation of everybody on this call is extremely appreciated as well as we value the interest in the company. I think we've done a really good job sharing the progress that we've made as well as what we're going to continue to do in the coming quarters. .
 I look forward to continuing to share that progress in the coming quarters and also at our Investor Day in December in Boston. Again, thank you for your time and attention today and look forward to talking to you soon. 
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.